Operator: Good morning, ladies and gentlemen and welcome to the TUI AG Conference Call, regarding the COVID-19 Update and FY ’20 9M Results. At this time all participants have been placed on a listen-only-mode. The floor will be open for questions, following the presentation. Let me now turn the floor over to your host Friedrich Joussen and Birgit Conix. Please go ahead.
Friedrich Joussen: So good morning, everybody. So we had a [ph] little bit of a special situation, not only because of COVID, but also because we are in different places. I mean Birgit is in Belgium because of current sales requirements. I'm in the Dusseldorf, and we have our central team in Hanover. So it's a little bit of different logistics. But I think we can make it work very well. One of the changes we are doing is actually that I have to announce which pages are on that because then it's flipped toby our system. So, we turn to page number five. And I think what we can say in the last quarter, we have actually done a successful restart of operation. And particularly then you know, leading into July, as well as August. The disease [ph] that was of the size and stature that it generates [ph] immediate working capital inflow. And as you recall, one of the bigger problems is - was actually to repay customer pre payments. And that is something which now it's actually fixed. So customers have actually received the repayments and we are sure [ph] on that and also we have enough working capital and fuel [ph] to work on that. But we also said and what we did was – and we reduced significantly the cash fixed costs to a level of below 70% and therefore we expect Q4, based on what we see, so, the quarter which has now started July, August and September to be broadly cash breakeven on an operational level. Anyhow, you know the situation is still volatile and the cash - the [indiscernible] coming in or going out and advices [ph] coming in and going out. So, therefore we applied for a stabilization package with the German government and agreed yesterday an amount of €1.2 billion, if needed or don't remains to be seen, but plan for the best, plan for the worst and hope for the best. We are now in a situation that we have secured enough liquidity for winter and the time there after, that is something which is really reassuring. And that's of course something which now let us focus even more on operational level, which is important. Now, booking numbers itself, you know, particularly for summer ’21 are extremely strong, 145% up compared to the previous year. That's a very good indication. And I come to that in detail, you know how that unfolds into new booking and also amendments from this year. The good thing is also by the way that a lot of us want to stay even with the amendments, the price per booking up, so it's not only big volumes, but it is also on a very good price level. Now, assuming that actually everything goes well and ‘22 we see a normalized business, which we believe we will have more that [ph] of course, we will look at the balance sheet restructuring, but particularly also we have launched this 30% overhead cost saving program and we are now disclosing that we will be doing more than €300 million per year as actual cost savings. And I have brought with me major projects, a couple of projects, five projects, which are carrying almost 300 or be [ph] more then 300. So therefore, you know, it's also good for the follow up and future disclosure of our savings program. Now, that's - you know, opening, then I look right now on page number six, we have been the first to start the business in many instances and that was mid of June, particularly from Germany, through the integrated model we could agree for example, in Majorca, but also in Minorca [ph] to open the corridors, what we call the safe corridors, you know, and we were actually in the first month also opening hotels worldwide. This first one right now doing – or one of the first one I have to say, there is the small food company associated with it. But of the major cruise company the first one to open the cruise business again, and you know, so we could actually fully integrated model [ph], make integrated decisions to restart the business that was helping a lot. And then you turn to page number seven, what you'll see is that you know, June was small, but in July, we actually went to 2,300 flights, in August we are now at 4200 flights, which actually will be even increased a little bit in September. Our program will be [indiscernible] 30%. And then you turn to the next page, I think it's even more reassuring, what you'll see for July and these are the numbers for July, you see, you know, we had 563,000 customers already. And the thing which is very important as well, our book load [ph] factor was 89% on the aircraft. So when we started the business, the most important thing is that you get the demand, supply equation, right? In order to manage your cost, of course, your cost will increase because you are using the fuel [ph] you are unfollowing [ph] the people and so on and so on. But you need to do it in a way that's adequate to your demand. So we had a load factor of 89%. August will be also very good. And that is, as we believe, you know, a result of our integrated model, that actually the capacity planning and the control of the whole value chain allows that to happen. Now, that said, turning to the next page, I think another reassuring message we believe is, that health and safety protocols and relaxing holidays are not a contradiction. We agreed with the destination countries and also with our partners, the extensive safety health and safety protocol, which you'll see on the left and still you know customers will give us a rating or the average rating for customers for the holidays has been 8.5 of 10. So that is very high. But, you know, a couple of their marks and quotes [ph] from customers. The first one, let’s say you know, relaxing holidays are good holidays. I mean, yes, it is a little bit more empty than it has been before, but customer value is and ultimate customer value a lot that, you know, we take care of them, so they feel safe. They are attentive to their health and they feel that actually we are taking care of it adequately means still have enough freedom till [ph] they have actually very nice and relaxing holiday. Now when I turn to the next page of my operation update, you'll see on the page number 10. We had 1.7 million new bookings since the travel bans were lifted, so since June and you see the seasons on the top left, new bookings for summer 1,050, total net bookings, so including amendments and all the bookings or the bookings which happened in the system 2.4 million, so that is 30% of capacity your saw our load factor of 89%. So I think we are in a good shape. The bookings come in much more short term, so the new bookings will increase, because, you know, we have good visibility now for August, but September still a lot of bookings coming in. Winter, you'll see that we will increase our capacity to 60%, but 60% of winter capacity versus of course, usually half of the summer. And therefore, we stay on a very constant level if you like. And here you will see, the bookings need to catch up a little bit. That is not a problem, quite of [ph] the contrary, that isn't as large of also the sort of booking cycles, which we see in summer as well. But then I think the very promising thing is then summer ’21. Summer ‘21 total net bookings are 1.5 million, last year it has been 630,000. So we are 145%. But even new bookings since June is 430,000, last year has been 380,000. So, you'll see that even on 100% capacity level we would be doing well, but we also do is we are careful. So, particularly do also the Boeing arrangements we have been doing, they will - we will plan our aircraft capacity and also commitment capacity in hotels to 80%, because this actually puts us on the safe side, we believe if you know the market will go on and it will be the booking like we see right now, it will be easier to extend capacity then if for whatever reason you know in January the bookings are not coming in as we think and so on. And this advantage actually will be fading away, which we have right now in the systems, then, you know, it's better to be on the 80% in order to be profitable the next year, guaranteed profitable next year. So this year liquidity, secured liquidity lines, bookings for summer are pretty good, load factors for summers are very good, therefore, you know, cash break - operational cash breakeven in Q4, summer ‘21 is a stunning number. And this is almost 15% of capacity sold, so it's not 15. So it's not very old. But in contrary and I that – that I think is very reassuring messages. That said, I would like to hand over to Birgit in [indiscernible] to lead you through the financial section of our presentations.
Birgit Conix: Thank you, Friedrich and also a warm welcome from my side. So I'm pleased to talk about financial achievements during the standstill and restart, as well as our current financial priorities. And let me start by saying that we have successfully delivered the previously announced cash fixed cost reductions of over 70% during the lockdown, and we also demonstrated our strict and rigorous liquidity management. And then second, the restart of operations has led to an immediate inflow of working capital, and it's positive to our operational cash flows. And then the Boeing compensation has been finalized, empty [ph] Hapag-Lloyd transaction proceeds are secured. And then we are, of course, like Friedrich [ph] alluded to equally pleased to see that we agreed the additional liquidity headroom to manage the unprecedented crisis. And then going forward, our full management attention will be on rebuilding a solid and robust financial profile and also, it will all be about improving our operating effectiveness with the Transformation Program. So let me now further detail these achievements. And you see that on the - no sorry, the previous slide. So you see that on the first slide detailing the German Federal Government facility that we secured, so, we were pleased to announce the agreement, as Friedrich already said, for an additional headroom of 1.2 billion. And as we've [ph] also said, so with this new stabilisation package TUI will have access to additional liquidity, which further strengthens our position in this volatile market environment and it also better positions us in case of a further period of disruption in our industry. The liquidity headroom is agreed, is a combination of debt and also an equity linked income [ph] As you could see from our communication yesterday, and the package consists therefore of a further KfW loan increasing TUI’s existing revolving credit facility by 1.05 billion. And the drawing of the additional KfW tranche is subject to an issuance of a convertible bond with a volume of €150 million subscribed by German Wirtschaftsstabilisierungsfonds, WSF by the 30 September at the latest  And furthermore, it is subject to an agreement with the bondholders of the €300 million senior notes due October 21, regarding a covenant waiver for a potential future limitation of indebtedness. And on the next slide, you will see the details of two TUI’s government stabilisation financing. And first, let me remind you that back in April, TUI was the first company to successfully receive the approval for €1.8 billion KfW bridge loan facility from the German state and it was just 10 days post application and the €1.8 billion and the €1.05 billion are an extension to the existing €1.75 billion revolving credit facility. And both covenants net levers [ph] raised through an interest cover relating to the existing and increased RCF will be suspended for the next 18 months. So covenant testing [ph] will resume in September 2021. The new stabilisation measures comprise also a new element which is a convertible bond for an amount of €150 million that will be subscribed by WSF subject to the conclusion of a subscription agreement. And the bond will have an initial term of six years and with interest at a rate of 9.5% per annum. And the remainder of the terms are described on this page. So what I would like to point out is that the access to this facility will provide us with sufficient liquidity headroom in case we see a prolonged period of disruption or a second lockdown. And as you can well imagine, during the period of crisis, the finance team has run through various COVID-19 scenario analysis and I would like to share our most recent assumptions with you. So the first scenario is our restart scenario. The ramp up of operations is expected to work as communicated, and we see a continued positive inflow of working capital. In this scenario, we expect that the so far secured financing instruments give us sufficient headroom for the winter season to come and beyond and it is unlikely that we need to utilize a second stabilisation package. And then a second scenario assumes an environment where operational ramp up is slower than expected. And we have negative news flows about, for instance, increasing infection rates, et cetera, might have an impact on consumer confidence. And here we expect that we might need to utilize a second stabilisation package to cover short term liquidity gaps. And then we calculated a third scenario, and this assumes major disruptions or a second lockdown leading again to the suspension of large parts of our travel program, as well as an obligation to refund our customers. This is a scenario where we expect to utilize the stabilisation package. So in summary, the second stabilisation package secures our liquidity needs, even in a scenario of a second lockdown. So let's move to the next slide. So this on Hapag-Lloyd. And so the successful closing of the sale of Hapag-Lloyd Cruises to our TUI Cruise joint venture will enhance our liquidity position by around €700 million. And we received the first amount of approximately €300 million of disposable fees already in the third quarter and we received the second tranche of around €320 million, both the transfer of the ships in mid July, around €70 million to be received over the next two years. And in Q4, you will also see the deconsolidation of around $400 million of net debt and debt like items. Additionally, we will also report a positive P&L effect in Q4 as we anticipate the disposal gain of €400 million based on the impact of valuation terms of the transaction. So this transaction is part of our asset right [ph] strategy and combines Royal Caribbean’s expertise with TUI strong distribution power. So then let me move on to the Boeing agreement. So as promised, we managed to agree a comprehensive compensation agreement with Boeing, which strengthens our liquidity and equally important, also allows flexible fleet planning in time of the pandemic. And as you know the specific details of the agreement with Boeing are confidential, so I cannot really share them. However, they consist of three key elements, a staggered cash compensation to be received over the next two years, which covers a significant portion of the grounding cost, a deferral of 61 aircraft by on average of 25 months and this enables our fleet capacity to be flexed over the next two years, which is of course useful in the current situation, and then credits against future orders. So the deferral agreement will reduce our financing requirements of the next two years, whilst TUI [ph] build our financial profile. And we are quite proud of this successful deal in a difficult market environment. So this brings me to the liquidity position, on the next slide. Yes, thank you. As already mentioned, during my introductory remarks, I'm very pleased to say that liquidity developed in line with expectations. And during the half year results, we talked about reduction in liquidity from the 27th of march to the 10th of May by around €1 billion and the main buckets were the repayment of commercial paper and bilaterals [ph] customer refunds and operational cash out. And since then, we have managed our cash out for customer refund successfully. We executed on our cash fixed cost reduction targets, the ones that we discussed with you in the previous call. And we delivered on the promised cash-ins [ph] like Hapag-Lloyd and Boeing because there were a lot of questions around that as well, during the call last time. And the positive contribution as per our restart announcement, if well on track. So we are also pleased to communicate that if the current scenario continues, we expect to be broadly operationally cash rate even during Q4, but I will come to that on my next slide. So let me summarize first, on the 12th of August, we can [ph] report €1.2 billion of cash and available facilities and pro forma adding the new government backed funds, TUIs cash on available facilities would amounts to €2.4 billion. This liquidity position makes us well placed to cover our upcoming winter needs and also beyond, even in case of a second lockdown. So with that, let me go to that next slide, and at our H1 results we discuss how the exceptional shutdown require significant group-wide cost reductions. Having reduced costs to an absolute crisis minimum, we expect a cash fixed cost outflow of between €250 million to €300 million per month. Additionally, we expect the payment obligations below EBIT, such as interest, pensions, and debt repayments for around €50 million per month. And we also said we anticipated customer refunds of between €250 million to €300 million, so total of €550 million to €650 million per month. And under a restart scenario based on our current plan, we expect Q4 full year ‘20 to be broadly cash break even on an operational level. So this is cash flow - cash view, including working capital. And for Q of fiscal year '21, we expect a muted cash out of low single digit to €100 millions compared to normal years based on a less pronounced liquidity curve. Looking ahead, and I will explain it on the next slide. So looking ahead, we expect full year ‘21 to be a transitional year. And as consumer sentiment for travel recovers, we expect a more normalized working capital cycle in full year ’22. fiscal year ‘22. To summarize, we reacted quickly to reduce costs and to secure liquidity and I can assure you our focus on fixed liquidity management will be continued. So that leads me to the slides where you see the liquidity profile. And as last time, I would like to guide you through our assumptions and how the restart is expected to impact the seasonal swing. And you can see this from this illustrative graph again, the partial restart and that is the light blue line, has led to an immediate inflow of working capital. And it's contributing positively to our cash curve compared to a standstill or a lockdown, and that is the dotted light gray line that you can see there. And the main reasons are the reduced customer refund obligations, cash inflows, as our customers are committing for summer ‘20 and future seasons, and then a lower outflow of the prepayments due to smaller summer business and also a consumption of certain prepayments that we already only meet. And then our liquidity enhancing measures and these were discussed on my previous slides. And then also obviously, what I mean with that is a strong focus on cash and costs. And as I already mentioned, we expect to return to a more normalized working capital cycle in fiscal year ‘22, when the consumer sentiment for travel is expected to recover. So that brings me to the next slide. Yes, thank you. So, now that we secured the necessary liquidity headroom and with the additional stabilisation package to cover risk, even in a case of a second lockdown, our next financial priority is to rebuild a solid financial profile. And it does not sound so long ago when we presented our full year ‘19 results, but also there we said that the overarching target of the capital allocation framework is to maintain a solid balance sheet with a growth leverage ratio in the range of 2.25 times to 3 times. And the COVID-19 pandemics resulted in the withdrawal of our guidance and it remains withdrawn due to the continued level of uncertainty. But this priority remains the same and we need to rebuild a solid balance sheet profile post the COVID-19 pandemic. And for this reason, TUI Group will now evaluate options to achieve the optimal balance sheet structure to support the business over the long term. And with that, I think it is the right moment to hand to Friedrich because the global realignment program that is underway is a very integral part to that and we can also show that we will work on operational effectiveness.
Friedrich Joussen: Thank you, Birgit, very clear. So when you look to page number 21, you'll see the components of our realignment program. It's not only about cost, it's also about capital intensity and it's also about digitalization. And particularly, when you think about capital intensity and digitalization this has been part of the strategy, which we have communicated to you already before the crisis. We wanted to do less investment on asset-right strategy, as we called it, part of it was the Hapag-Lloyd’s integration into TUI Cruises, there we generated significant proceeds, very good valuation, good consolidation of that. Of course, we have EBIT, but at the same time you know synergies, we said would take care of it that into our previous [ph] we would be at EBIT level 100% again. So, that was actually before and also the digitalization was an integral part, become a digital platform business, including the full digitalization of processes and additional trust [ph] mentality in our operational business. I come to that in a minute. What is new is actually the reduction of cost, and we have communicated 30% less overhead cost. That was the target impacting potentially 8,000 roles globally. How did we want to do it? How did we communicate to do it, consolidation of IT structures, one process across all markets, merge tasks and organization across the group. I will communicate in a minute, you know, what that extra [ph] costs, I will also communicate major five initiatives, which actually are the cornerstones of that program. And these five initiatives I will talk about already generate close to €300 million yearly savings. So, you know, everything else which we are doing on top of it will be bringing us to the way above €300 million and we will like in the synergy reporting, some of you may remember of the merge of [indiscernible] communicate the savings coming forward. Let we talk about capital intensity. It's not that we sell hotels or it's not that we sell cruise ships, but we will work on our capital structure. And we will work less introduce or invest less. And that's something which is also clear there will be overcapacities for the next years. So to level of demand versus supply, it is anyway a good thing to invest less and part of it was also of course, the right-sizing of airlines and we talked about you know, the 20% less and you saw it in the summer ‘21 program, 80% of previously planned capacity. So the agreement with Boeing enables to do that, particularly in Germany we’ll reduce our airline capacity to what we call the winter capacity. Also we talked about the divestment of non-profitable activities, maybe the most prominent being front. Then drive digitalization. Digital platform businesses, thinking digital first, particularly you will see that in DX significant reduction into our costs because all the customer journey process is centered around the digital courses, is particularly the very increased investments or the increased investment in IT, while decreasing investment in - overall investment in IT, and even within the investments decreasing legacy because we now have less business here, it's easier to do that. And all, more or less all investment in IT goes into our new platform. Important here is that we are striving to save cost and enhance quality. So just saving costs are not the right thing to do. We are a premium brand, so increase quality and that's only possible because we think digital first. So overall, our cost reduction target to be over €300 million plus benefits in ’20, as you can see the ramp up of the program. On the next page, you'll see also associated SDIs, the full benefit will be achieved on a running rate basis financial year ‘23. But significant parts already in ‘21 and ’22, right. So, when you look and now what is this? Yeah, so what are the major cornerstone, you’ll see five main project, which I want to talk very briefly about. First, TUI fly in Germany, we have overcapacities in Germany in the aviation market. We communicated to reduce around 50% of the fleet. That actually also reduces headcount by half. Transformation planner presented in negotiation. So you know, the consultation have started. We have the backing through our reduced order book. So that is something which on its way and it's in the execution. TUI France, restructuring rollout, we have a vendor [ph] appointed. This is actually agreed even with the government. So, that is particularly, you know also a reduction of overhead, but also reduction of own shops, you know also evaluation of partnerships at least 500 to 600 roles reduced. So, this is actually in rollout and progressing now. DX restructuring program, we used to have 10,000 people, now we are down to six, as well as you know another thousand roles are being addressed. Its all as I said, just because we have increased our IT capabilities on the, particularly the app - in app development, customer care in app, cross selling in app, CRM in-app, that is something which is more proactive. And also we see that creates better customer satisfaction and also re-use of the app, it's very high as well. So the technical maturity is there, customers also through the back to the lockdown are more used to actually use different services and be able to take the advantage. TUI UK, the closing of 166 high streets stores is communicated. That actually builds and generates the associated savings and is a big issue of course, again here people are more used to online shopping because of the lockdown and we are taking the advantage And then on head office, you know, we will actually integrate all functional areas under one leadership, so that it is actually reducing duplication, streamlined service delivery, quality improvements, we can more automize because of the bigger scale, restructuring plan it is already communicated to social partners and that's actually underway and committable. And only these four - these five projects actually have a target to saving of just close to €300 million we committed to above €300 million, the 30% level would be 350 to 400. But to illustrate, it's not only a dream, but it is actually very tangible projects which are in execution, we put this slide up. Now and maybe, then come to the quarter. I will just very briefly open hand over to Birgit then maybe just 25, page 25. I just want to, you know, very briefly, from my perspective, say a short word before handing over to Birgit on the bottom left box. When you look at the bottom left box, a minus €1.1 billion, based on no turnover, that contains €400 million and Birgit will talk about it, namely through impairments, because of the higher WACC we have right now, that's clear. I mean, particular situation changed, the WACC changes, therefore, actually, the valuation changes. So the operationally we talked about the €700 700 million. And that dovetails quite nicely, I think to the over - to the overhead cost reductions of more than 70%, which we communicated last time to you. So I mean, as a sanity check, it's very clear and that you see on the top left box, the revenue was minus 98%, of course, until the end of June, just the pilot projects, actually we’re operating, and then the awful [ph] overland traffic. But other than that our business wasn't a total lockdown. And I think it dovetails quite nicely to the communication we had done before. And maybe, Birgit, do you want to take over now for actually be the section here.
Birgit Conix: Yes, that's fine. Thank you, Friedrich. So maybe let's move immediately to that - yes to the next slide with the bridge. And here as you can see, we saw a very successful first five months period with €100 million improvements versus the same period last year. And here on the bridge, we singled out the impact of the COVID-19 pandemic, to our year-to-date results, for an amount of €1.2 billion and here I would like to highlight again our achievements on the fixed cost reduction and we managed to reduce cost of sales in the third quarter by 78%. And this demonstrates how quickly and efficiently we can manage down operational gearing in an absolute crisis situation. So I will then just quickly go over the impairments, because thank you Fitz [ph] you already talked about them and I can tell you, so these impairments of €410 million you see there in detail we needed to impair €200 million in hotels and resorts, €133 million in our Cruise segment, and finally €88 million for Cox [ph] And in addition, we have absorbed an impact from the COVID-19 related loss for over-hedged open contracts, as a result of our business standstill and our reduced capacity assumptions. And a topic that you probably remember also from last time we spoke. And overall the net hedging effectiveness - ineffectiveness for the nine month period amounted to €189 million. So then let me quickly move over to the income statement, and as last time, I will focus on the year-on-year comparison with pro forma IAS 17 figures for the nine months of the fiscal year ‘20. But I will keep my comments really brief, as all figures are impacted by COVID-19, which makes a more detailed analysis somewhat meaningless, you could say. So turnover, the feedstocks already, a bit about that. So let me immediately move to the net adjustments of €220 million and it's driven mainly by restructuring costs relating to the global realignment program, which we announced and the €9 million adjustments are composed of the following. So €217 million of restructuring cost, and then COVID-19 related goodwill impairments of €53 million and then the usual purchase price allocation of €40 million [ph] and then also a €90 million disposal portfolio gain from the sale of German, the German specialist business. And net interest result increased by €31 million and this is predominantly reflecting the drawdown of our RCF facilities to support the liquidity during the business standstill. And then moving to the cash flow statement. And in this unprecedented situation for managing our cash flow and liquidity is a number one key priority and you will see lower cash flow, how quickly we actively addressed the cash items in our remit. And here you will see the working capital outflow that is the biggest item here and it reflects the customer refund obligations and the reduction of new bookings inflow during the COVID-19 business standstill for the majority of Q3. And then I think with that the rest is more self-explanatory, the net investments maybe here still to make a small point that we had used this significantly, immediately actually we put all our projects on pause to enhance liquidity. So with that, let's move over to the slides on net debt. Thank you. And time I will focus my comments on the net debt bridge from half one to Q3 on the right hand side of the chart. And net debt before lease liabilities increased by €1.2 billion to €3.8 billion. This is in line with our H1 communication of an expected €550 million to €650 million cash outflow per month for the cash fixed costs, and the customer refunds. And the outflow was mitigated by the received cash proceeds from our disposals. And the position was also partly reduced by the Hapag-Lloyd reclassification as a disposal. And including these liabilities for the first time adoption of IFRS 16, the nine month closing net debt stood at €5.9 billion. So, let me summarize this financial section, and all-in-all, the Q3 financials are, as you see and know heavily impacted by the COVID-19 pandemic. But when the crisis started, we were able to analyze the situation quickly. This is also how we got to the first agreement with the German state only 10 days later because we proactively analyzed. We also secured liquidity in now two tranches, and we executed rigoursly on our cash reduction targets. And we are also proud to confirm that the restart delivers on what we promised and it contributes positively towards our cash costs, so that we expect to be cash breakeven on an operational level in Q4. And as already mentioned, our next priority will be to rebuild the optimal balance sheet structure to support our business over the long-term. And last but not least, as a reminder, our the guidance is withdrawn, and the dividend payments are raised. So, let me – with that, let me hand back to Fritz.
Friedrich Joussen: Thank you, Birgit. And just for me as a recap and summary, and focusing on page number 33, just the right strap now [ph] on the dark blue box. I mean, after a full breakdown and three months of no business at all, the integrated business model allowed us to have a quick restart and very efficient restart. So 89% in the first month, 89% of load factor, when you start from we were more than 0.5 million customers, I think speaks for itself. Also, you know, where we take the advantage of the COVID-19 situation to accelerate our already initiate digitalization strategy. So ruthlessly [ph] we limited all investment, there's no investment going on, but digital was increased, as well as you know, the focus away from legacy structure, more than 90% of our investments are now going into the future digital platform, and we talked about the effect. And when you look at the summary of the next slide, I mean, this puts it very well. I think the restart more or less was about liquidity management, which is now finalized in terms of getting the access to an additional credit line, which we might or might not have to use. But it is important to put certainty and reassurance into the business just in case, plan for worst, hope for the best. Now we work on the balance sheet. That is important as well. And when I see transition year '21, that our goal will be you know, the return to profitability and actually finalize the digitalization. So the transformation agenda and by the way, I think you know, when I look at booking of up 145% there is a very, very good chance that we will be fine. And in year ‘22 we believe you know, a vaccine - provided vaccine is there, we will have back to normal and more consolidated [ph] nominated market, the demand will be back and we will be 300, hopefully more than 300 million more or less cost, also more profitable. That means lean or less capital intensive and more digital business. So I think we will be - we will have in hindsight seen as during the crisis as a chance. That's it for my side as well. And now I would open the floor for questions. You know, I will concierge the questions between myself, Birgit and also the team at Hanover and please shoot.
Operator: Thank you. [Operator Instructions] And the first question comes from Jamie Rollo from Morgan Stanley. Please go ahead.
Jamie Rollo: Morning, everyone. Thanks. I've got three questions about liquidity and cash, please. The first one, June cash position is €2 billion. I assume that's the same as the liquidity position as well. Yesterday that was €1.2 billion, so it looks like €800 million of cash burn in about six weeks, but your Q4 guidance obviously, for a lot less than that per month. So what am I sort of missing there? I'm assuming the remaining Hapag-Lloyd proceeds and not in the €1.2 billion? Secondly, if I could push you a bit on the cautious scenario, slide 19 shows the liquidity dotted line sort of dropping and then stopping at the end of Q4. So could you talk about for the first hall, if we do see another lockdown? Is it fair to say the maximum monthly EBITDA loss is now you know, maximum 230, 240? And also how much of the €4 billion customer deposits are for that winter season? And if you could finally on that point talk about the monthly interest costs now or even the annual interest costs, post the additional KfW loan? And the final sort of question, I guess, summing it all up, but you have interviewed - talking about a rights issue. Could you sort of try and size that for us? And should we assume that should come by the end of September sort of going concern, account and for license purposes, please? Thank you.
Friedrich Joussen: Okay. So maybe Birgit, do you want to start?
Birgit Conix: Yes, I will start. So – because I am – I think I have - I noted all of your questions, but I mean, it's a lot to follow and I have no now assistance to multitask on the question. So I may have to ask you to repeat. But the first question was about how do you get from the May half year results to €2.1 billion to the €1.2 billion that we showed on the liquidity development? Is that correct Jamie?
Jamie Rollo: Actually, it was the end of June balance sheets, cash figure of €2 billion, I am assuming that…
Birgit Conix: Let me take it from the 2.1 to the 1.2 and that will give you an indication there. So if you look at the starting point, to €2.1 billion, then you add actually back the Hapag-Lloyd’s policies and also Boeing, which gets you to €2.8 billion. And then from that, you take the run rate of the refunds for three months and also some customer deposits. So then you get to around a €2 billion and then you actually need to still deduct the standstill cash-outs for three months and then you get to the €1.2 billion position. That is how this actually reconcile. And then you were asking a question about the liquidity profile, I believe, and here what happens if you see - what you see is a less pronounced seasonal swing versus what we normally would have. And we show that during the previous results presentation, and now you see that light blue line, which is more or less, it's going down, actually, slightly, but that is because we have of course, the cache in the fourth quarter and so we have – and the fourth quarter is broadly cash neutral on an operational basis. And also you see what we said earlier, as it's a low, single digit cash out because you also have some other effects. And then what we also can do is we can reuse some of the customer prepayments that were meant for summer ’20, we can reuse them for the summer ’21, so we have less of them. And then we also have of course, less supplier payments because we have a much smaller summer. So that's why you see the liquidity curve develop as it does and for the first quarter of fiscal year 2021 normally you would see really major dip, but of course, there are less supply of payments as well, so that is what you see in the case of a situation with the information that we know today of the pandemic. Of course, nobody has a crystal ball. And so that changed then with that the liquidity curve changed. But that's why we also have secured now the second tranche of liquidity so that we have enough liquidity to cover all of these scenarios, as I said earlier, during the presentation. But then there were other questions, I think you asked on the right on potential right issue. So with that, let me tell you, we are now evaluating all the potential options for an optimal balance sheet structure. And this is also - it's also the transformation program that we just launched because we want to be much more effective going forward and with that over €300 million cost saving run rate commitment, we will be able - I mean, that will substantially change our cost savings and that is a plus going forward. And also on the assets, we will be - we will make a change and we already announced that last time to be more asset-light and you saw that also with the Hapag-Lloyd transaction. So that also helps. And then of course, we will further look at other options we need to evaluate the full spectrum. Did that answer your question?
Friedrich Joussen: I think there was a question on interest cost, right, there was…
Birgit Conix: Yeah, on the interest cost, okay. And so here I cannot really go into detail on the interest cost also for the second tranche. That is something we are not – and it depends on whether we draw upon the second half RCF of course, but indeed our interest cost will go up, that is kind of normal if you do the math, but it all depends on also how quickly we can repay the debt and whether we need to draw upon the second tranche or not. So I think you've seen it also from the - from now our third quarter results, you also already saw the increase in the interest component.
Jamie Rollo: So it didn't quite answer my questions. Can I just maybe make - rephrase them then. The first question was actually about the Q4 cash burn, because you've given us for June cash - end of June, not May, end of June €2 billion and you've given us the middle of August liquidity, its €800 million drop in the fourth quarter in six weeks, which is more than the whole Q4 guidance, the cash burn, so that was that specific question. And the other question was looking forward from the first part, what is the maximum EBITDA loss now? I've taken the fixed cost on, I think it's €240 million, but just confirm that and how much of the €4 billion customer deposit are for that six month period? In other words, what could the worst case outflow beyond that, please?
Birgit Conix: Yeah, maybe my line is a bit bad, on the last I didn't I get. But - so on the fourth quarter, what we did say and I will just repeat that is - that on an operational basis, we are cash neutral, but of course, there are other elements which is also - which are not operational and some net items and there we can assume, and I will repeat it again, the low, a single €100 millions. And that is what I – we can say about that. So I am not sure, you'll see that when we report back in December that we will again deliver upon what we said, if the situation of course, stays as is currently with the information that we have on the pandemic, if something dramatically changed and that may change, but based on what we know today, it is what we guided for.
Jamie Rollo: So why is there an €800 million cash outflow in six weeks?
Birgit Conix: So let me remind you, for the July cash out, in particular refunds, this is phasing also, so including June and supplier payments and they relate to – and we also have supplier payments which relate to the restart of the business. So, what I said when I talked about the Q4, then that is more in general if you would divide it by three months, but of course you have phasing from one week into the other. We're talking about cash and not about for instance, EBIT. So that's just phasing of some items, and especially with refunds, you can imagine that that’s not so clear cut by week.
Friedrich Joussen: But I mean, Jamie to be to be absolutely clear. When we talk about the operationally breakeven, we don't talk about the historic burden of a refund of customers, which we had to bring Azure in July, yeah, as well as supplier payments. And the absolute majority of actually the liquidity development in July was both on these, overdue suppliers and returns. Of course, now we are as you were, this may be not an issue quite to the contrary. Now we actually get more cash ins, yeah, then actually we refund through new bookings. Let me talk about operational breakeven, that's what it says is, you know, the operations, full operations actually are covered by the operation of business which we have in that period. And that's also the reason why in Q1, as you'll see on the slide, the situation is slightly deteriorating again, because then you get a slightly bigger summer business with phased cash out to suppliers, namely hotel lease. And that actually reduces the liquidity position again. So in July, particularly July, but also the beginning of August we still had a significant - beginning of August significant refunds for customers and suppliers.
Jamie Rollo: Got it. And can I rephrase my last question. The question was about the timing and the size of potential rights issue. Should we…
Friedrich Joussen: Can I ask for your patience here a little bit, because I mean, the issue is of course highly - in a highly volatile market. What we do is we will be prepared to take the chance. I mean, the message we want to say, as we know that our balance sheet needs to be restructured. And we will take the chance to do that. But of course, when and exactly how much will highly depend, of course, on the volatility of the market as well. And the rights issue is, of course, one of the components we have an approval of last AGM, but of course that needs to be – we’ll be stacking up. So please allow us not to do comments on that issue now.
Jamie Rollo: Okay, understood. Thank you very much. Thanks a lot.
Friedrich Joussen: Okay, thanks a lot.
Operator: The next question comes from Adrian Pehl from Commerzbank. Please go ahead.
Friedrich Joussen: Good morning, Adrian.
Adrian Pehl: Hey. Good morning, everybody. Just three questions if I may. Well, first of all, to be clear, what you've been saying on rightsizing of your airline. I mean, we talked about it probably previously, but I was just wondering, given your new announcements on cost, if you are contemplating on lowering the airline capacity any further? And clearly linked to that, I mean, obviously, I know you're not commenting on any rumors, but potentially, you might look a little bit more closer on whatever kind of joint venture structure and probably there's a German partner out there for which it makes sense. I just wondered what are your contemplations potentially around it and there's something in the making? The second one is and actually on the whole topic of hotelier prepayments and touristic prepayments. Can I assume that actually, also from legal litigation perspective, you have sorted everything out so far or are there any remaining risks from that to be factored in? That is the second one. And actually the third one is on, you did some asset write-downs already with a Q3 reporting? What is your view on that? I mean, is there anything to come in Q4 potentially and given that your equity ratio has been declining quite substantially, obviously as a natural consequence of what happened? Can you rule out that this will be negative by the end of Q4? Thank you.
Friedrich Joussen: Okay. I leave the third one for Birgit. But let me answer the first two. The first month is the rightsizing of airline. When you look at our short-haul fleet, we have been able to reduce our order book - reduce or delay our order book significantly. And that is around 30, 35, you know, 30 for next two years, which of MAXes don't take. Now in Germany, the biggest pressure we have, as you mentioned is actually Germany we have now 39 short-haul [indiscernible] flight and we will reduce half, so that is 20. And when you also stack up that number with our overall short-haul network fleet of 120 something, we will go down to around 100. This also includes a little bit of restructuring, which we already have initiated in the Nordics and a little bit of lightning as well as in the UK, but the smaller pieces, the big thing is now Germany. Now you talked about, future plans and you talked about a consolidation in the market. What we are doing, aside of reducing capacity, what we say to the winter capacity because we believe in the next year we’ll be fine. We need strategic access because it's an infrastructure for us. So we need to be guaranteeing that something flies to Cambodia [ph] if you build a hotel in Cambodia. But, you know, more than the winter program we might not want to fly alone and therefore we reduce it. Now, what we also do in the same, we have actually separated all airlines into a separate entity, what we call a tie concern [ph] Also, we have everything on the same platform right now. For example, Nvidia [ph] is the same Nvidia platform. And that will allow us to operate the airline as a profit center, as not as a cost center. And then when you operate as a profit center and you have an integrated you know full IT stake in operations, right, integrated, right, then you are partner ready and what that means more or less before it would have been difficult to think at all about partnerships. But now we are partner ready because we can connect very easily. And that is something we will actually look at, more than that it's difficult to say because we will be on the right side and we will be on process operations in IT and also P&L structures in the way it open to partner and that then opens a whole array of options. We can either you know, just interconnect with others, co-chair with others, we can actually have inter linkage, we can maybe work even with this aircraft which we don't invest. So, there we have investment vehicles to run the aircraft companies and so on and so on. But that before was not possible, but now opens the options. You know, and any specific and we would actually talk about this when time matures. On the asset itself, you know, I think the biggest asset disposal we have been doing was Hapag-Lloyd, and that was not done - that was even decided before the crisis and then it was a very good strategic reason. And one of the options of course, longer term on our watch list is definitely Magala [ph] Magala will need to be fleeting, at a certain point in time, maybe not now, definitely not now, but when we do a fleeting, you know, we will not do in our balance sheet, that's also very clear. And the queue of interested parties to work with us, was long before the crisis, its little bit shorter now, but that's definitely something which is on the list. To give you give you another example, but we will not rush into any kind of higher sale and again here, you know the liquidity line which we have been securing from the state also prevents that to happen. Birgit, do you want to say something on the Hanover team or whatever, on the…
Birgit Conix: The equity ratio in the group is not triggering a consequence. The element here is that TUI AG as a legal entity, but in the Q4 impairments were a COVID-19 triggering event and this has to do with reduced free cash flows going forward within an increased WACC drew to our weighted average cost of capital - risk on premiums. So it's not an equity ratio really, that will trigger the consequence. And the equity at TUI AG at the end of this quarter was above €5 billion.
Friedrich Joussen: Okay, let's go next.
Operator: The next question comes from Richard Clarke from Bernstein. Please go ahead.
Richard Clarke: Good morning, everybody. Three questions, if I may. And the first one's just on the nature of your current deposits. I know you've said that you're kind of done with the refunds. But if there's any - can you give us some detail on how much of those deposits or holidays that were booked, pre COVID and maybe to which seasons the current deposit levels relate to? And second question on the convertible, is €150 million, that's already been drawn, you have to draw that today. And just on being able to avoid it being converted, it sounds like you can avoid it if you've repaid the other facility, do you have to repay the first liquidity facility before you pay any of the second one? So will you need to repay the entire sort of first tranche before you can avoid the convertible being able to be utilized? And then the third one, hopefully something a little bit more positive, you haven't mentioned in your release the booking deal with Musement. Anything you can comment on that, the potential scope that you might have from that Musement deal and what else that might lead on to with booking?
Friedrich Joussen: Okay. The prepayment is pretty easy. More or less everything you see right now business return is before – is of course, for travel, which actually has been booked before the crisis. So, you know, particularly now it's not encouraging. We had this terrible morning our current tailing from Spain to UK more or less nothing actually returned there. Everything has been booked, for example to Greece. So - and now, of course, particularly when you look to the future, a lot - it's more - now it's more of the operational issue, its not so much concerning the money, but redeeming vouchers, and you see that particularly number 21, the difference between the net bookings in June and actually the booking status is a €1 billion and that is actually voucher. By the way, including the vouchers, the prices are still up. So I think that that’s a good message. The convertor is only related to the second tranche of RCF. I mean, the first tranche of RCF it is not affected at all. And the booking is of course, you know when you look at booking itself, we are the sole provider now, but of course the booking business itself is very low, but the numbers are - you know, the first numbers are good, but of course it is much lower than expected because the volume itself in booking as well, it's not high.
Birgit Conix: And then on the refund, so for per month as we said earlier, we have a refund rate of €250 million to €300 million. And then that the customer deposits at the end of the third quarter of the balance sheet were around €3 billion, like €2,.9 let's say, and then the change versus end of March 2020 when we were at €3.4, it is related to refunds of for summer ’20, but it's also including new bookings because some people rebook for later periods, winter or summer ‘21 and also sales of the of the restart. So it's a bit mix, let's say.
Friedrich Joussen: Yeah, that’s the main part of the refund, of course, relates to, as I said. Okay, that's it.
Operator: And the next question comes from James Ainley from Citi. Please go ahead.
Friedrich Joussen: Hi, James.
James Ainley: Morning, everybody. Thanks for taking my questions. Just you talked about operational news wise is saying, as well as potential capital raise, you might consider selling other assets, at a high level kind of what bits of the business do you think you could sell without undermining the integrated nature of the business model? Second, related to that is how does the kind of lower cash resources impact your investment plans for the growth plans for the DX business and the GDN-OTA? And then the third question is, can you talk a bit about your experiences of restarting the cruise business? What have you learned about maximum levels of occupancy that you can manage on board? And what you’re plans for restarting port calls? And how are you therefore thinking about the capacity planning for your cruise business in 2021?
Friedrich Joussen: Yeah, okay. So the potential – to be very clear, if we sell and that was the communication of, even before the crisis, if we sell things on the asset front, or if you divest or make it actually, then we don't - you do that without, you know, then we only do it if you keep controller on the asset itself, the sales, the marketing, the product, everything. The best example is of course, TUI Cruises. TUI Cruises is an equity, but at the same time we control everything which is necessary and possible. And, you know, and I talked about Magala for example, you know, maybe other things to come, but we don't sell and we lose control. And that actually says already something you know, about this will never be a fire sale, you know, we will be careful. And quite to the contrary, if we want to scale on the digital platforms, then it's very clear, that long term just to invest into assets, we’ll maybe not fit 100%. So we need to be careful of what is in our balance sheet and how much invest and where we invest. And that's what we said asset light, it's not that we say we don't like it, quite to the contrary we like it, but you know the financing structure must be right. On the experience on cruises. That has been good. I mean, customer's like it, the feedback is very good. We expect the first part - you know, the limitations right now is actually the opening of ports, we expect the first opening of ports being - will be happening in September, and that will be in the Mediterranean and we will put the ships there. Today we are satisfied with what we do, but of course, long term we need operations in southern Europe. Definitely, if not even more south, particularly when the winter comes. Bookings for summer are good. Volume is good, prices are a little bit weaker than this year, so the years are not where they should be 100%. But you know, on the other hand, I have to say that bookings, for example, for overall, I mean for hotels and that business is up on prices. So, it's still early days. There was one more question you had?
James Ainley: It was related to the cruise business. What level…
Friedrich Joussen: Very good…
James Ainley: You have in running that on?
Friedrich Joussen: Yeah, we just operate now on 60% level, the 60% level is a cash positive. So I mean, that we don't lose cash. That's the objective.
James Ainley: And do you think you can increase that 60% from there? Or is that kind of level you're planning?
Friedrich Joussen: It's a pure a pure decision of us to do that right now. And, you know, we could do, the amount would be higher. I mean, nobody just - remember operate the ship, we decided to right now to 60%. Over time it will go up and I am pretty sure, but for the time being, we operate at 60%. And it depends a little bit on couple advisors. Now the most important thing is that we start to operate in the Mediterranean and we get a port openings. So I think that is the next step to face.
James Ainley: Okay. Very good. Thank you.
Friedrich Joussen: Okay, thank you.
Operator: Next question comes from Jaafar Mestari from Exane BNP Paribas. Please go ahead.
Jaafar Mestari: Hi. Good morning, everyone. I'd like to ask three, if that’s, okay. So firstly on customer prepayments. You did flag that you saw an immediate inflow of working capital since you reopened. As you mentioned, in a couple of your answers on this call, there hasn’t been that clear cuts in June. So could you maybe give us some sense on how big those booking related inflows were in July and August, after your balance sheet date? And second question on same theme, today how much cash down payment has your average COVID customer paid in percentage of the price of the holiday? In other words, when those customers you booked or rebooked will eventually travel in winter ‘20 are in summer ‘21. Will they have a significant cash top up to pay to you? Or will you pretty much have to provide the holiday on the basis of what you already hold?
Friedrich Joussen: Yeah…
Jaafar Mestari: And lastly, goes on the German economic stabilization fund with WSS. My understanding from a very bad Google translate is that the fund is only accessible to companies that have not secured any other form of financing. So can you retain parts or all of the now €2.9 billion loan and find new equity or new bond or new bank financing on top is that the plan? Or would you have to actually refinance the entire €2.9 billion in any financing solution that you're working on?
Friedrich Joussen: Yeah, I leave the last question for Birgit. Let me take the first. You cannot see the customer prepay, you cannot see the customer payment inflows eventually. And the reason for that is because June was only the pilot and it was not clear in June or in last quarter, when actually, everything else would be open usually, the structure is as follows. When you get - when you open - the customers start actually booking then you have a down payment, let's say of 10%, 20% whatsoever, it depends on the plan, on the concrete and so on. But the big cash incomes when you actually provide travel because then the remainder is actually – taking from the customer. And that is in the 80%, 90%. So the cash-in, you know, you cannot see when you look at last quarter, we only can see in June, July will actually be what 560 plus thousand people on vacation, right. So that's the reason why you know, June is meaningless. On the second question was about the vouchers, yeah. So what and actually happens is a couple of things. The first thing is you have vouchers, people redeem vouchers, yeah, of course they get a discount with it. Now the question is, what do they buy? And what we see at least for someone next year, we have significant numbers and to see how about a million amendments already. Now that is the difference between the 430 you'll see in the slide and the 1.5. This million, they have discounts, but the resulting price after discount is actually up. And the reason for that is our CRM systems are now of course trying to upsell customers to more valuable holidays, if you like. So that's number one. The second thing you'll see is maybe also interesting, particularly in all, for example, when we started to open Turkey, but also Greece, that is actually again a result of July, as well as August, we have been successful of channeling demand into hotels that we have significant prepayments. And that actually says, we have the cash-ins without any cash-out, because the cash-out happened in the time before and that was the question, do we have still settlement, the social use and so on, of course, by doing so, it's enormously relieving the pressure to pay out hotels as well because you know, now we bring the business again and prepayments are redeemed and that is of course something which is helping a lot of us now. On the WSF, you know it's a convertible bonds, we can emit the convertible and then we can actually get access to the KFW line, but maybe to the refi conditions maybe [indiscernible] and Matthias also. And Birgit, do you want elaborate on that?
Wolfgang Flintermann: Yeah, so the KFW is a rich financing which we will refinance in due course. But what was important is to really first securely keep liquidity as you can understand, and that is what we did. And as I also said earlier, we may not even have access the second task based on the scenarios. So - and then now, like Fitz also said, now is the time to evaluate also a balance sheet options, and there's various things we're looking at, for instance, the asset light, which we already discussed, also the cost. And this has to be a recurring cost saving, which we're working on, and then other options. But what is for sure is that we have the intention to drive down leverage going forward. And we believe it's very well possible as to be is - I mean, this is caused by the COVID-19 pandemic, but TUI is a great business, its a great brand. And customers want to go on holiday with TUI and just look at the first five months of our results where we really demonstrated that we are in strong position and it was also post the collapse of a major competitor, and also the forward business is looking strong. So it's now all about also executing the alignment program, reducing cost, focus on cash, which we already did pre-COVID as you all well know, we were constantly focusing on cash, and also constantly focusing on getting the levels down. So this is just unfortunate that we will - that this happened COVID-19, but now after having secured the liquidity, even in a worst case scenario, because that's what the second part is all about. It's more like a risk insurance premium. So save for anything worse that could happen. And then obviously, we will do everything to drive down the levels and look at all balance sheets options that are available to us at the right moment.
Jaafar Mestari: Super, thank you.
Operator: The next question comes from Cristian Nedelcu from UBS. Please go ahead.
Cristian Nedelcu: Hi, thank you very much for taking my questions. Three if I may. And the first one, you talk about an optimal balance sheet, could you give us a bit of color? How you define that? What is a level - sustainable level of that thing in your view? Secondly, for FY ‘21, can you give us a range of EBITDA expectations, a range of free cash flow expectations FY ’21, and if you can make a bit reference to working capital, CapEx development in your base case scenario going forward. And thirdly, I guess on advanced payments, and you flagged earlier people are booking closer to the departure date. And how do you see that profile of bookings, I know, for example, January just used to be the strongest month in bookings with 30% of the summer booked in January. Do you believe that could still be the case? Or what do you think is that shape of the booking curve over the next six months, nine months? Thank you.
Friedrich Joussen: Okay. I mean, Birgit is going to talk about the balance sheet. I think we have talked about net levers so quickly, and we think we should achieve that range again. But let's talk about net finance year ‘21, we say we will be - we strive to be profitable. So that means you know, profitable is definitely above when it comes to EBIT, but of course, we will see, I mean, that's a good question. How much and how fast things that come back. I mean, one thing let me clear. I mean, short-haul Mediterranean summer business will be very strong. And you'll see that in the booking numbers, yeah, you see that in the booking number of 145%. But what will happen exactly to long-haul, what will happen exactly to the cruise business and so on. It's a bit more unclear, but you know, EBIT levels will be positive. And that's actually says we will actually restrict the investments into hotels and cruises to something which I would call maintenance level. Of course, we will change to digitalization, that will be the main investment are, but of course, it's much smaller and also the delay of - the deliveries of aircraft will be a huge benefits to our balance sheet as well. And then you have - then you asked about the booking profile. I mean, that will be interesting to see. That will be interesting to see. The good thing is for ‘21 we have already 1.5 million bookings in the system that we have actually even the full or partly cash and that is on the bookings status, very advanced of where we have been last year. But one thing is also clear, most likely, yeah next year's bookings might be a little bit more shorter. By the way, therefore, you know this - we don't assume that this advantage will persist. But it's nice to have it and also when you look at the prices, I said we are up, next year's prices are up high single digit, mid to high single digit. So because of the good booking profile today for this 13% 15% booking status, we are now significantly up. That's good. It's a good starting point. But you know, it's difficult to say what will happen in January or February. Maybe on the on the balance sheet, Birgit do you want to say, as you know, what are we striving to do?
Birgit Conix: Yes, indeed. So, as you know, for pre COVID, we had a capital allocation framework. And there, we set the level of targeting is between 2.25 to three times now. And as you also know, we were really focusing on that pre-COVID and as I said earlier, already, we will continue to focus on that going forward and to really drive it to the lower end of the guidance. But before that, we still have some work to do because of what happened to us with COVID-19. Of course, previously we were well underway also with the Hapag-Lloyd transaction, the Boeing compensation everything we did to focus on cash, also the business being where it was. So, now we should go back to these levels and we feel comfortable that we can grow out of this if you do the things that I talked about earlier. So you have to ramp up of the bookings, you have the operational costs being taken out, asset light, disposals like volumes that we did with the Hapag-Lloyd transaction where you actually have a combination with a strong other partner and you actually have synergies on the expertise and we are the distributor of - and the distributor and for instance, in TUI Cruises, you have all the expertise on the ship et cetera. So that is a perfect combination, as Fritz also alluded to, and then we'll work further on the capital structure in all other means, but you can understand that fits for now in terms of what we can comment on that because we have had that question already several times and I seem like a broken record. But - and then on the guidance, because you also asked for guidance, and it is a bit early to guide. It's also why we withdrew our guidance. And as I said, as with the finance team, we build several scenarios and we have a current scenario which is where with the information we all know around this call, but there's also other scenarios. So it's too early, we don't have a crystal ball and nobody will be able to see what happens next. The only thing is that what we see now is as soon as the business picks up, TUI is in a good position to immediately pick up travel and provide service to the customers. And you know, I'm not so long into in this industry, but it's amazing how quickly TUI can turn around and actually operationalize everything. So I think that's important also to know, and with that, okay, we cannot really say, we consider 2021 to be a transition here, and 2022 for things to get back to normal.
Cristian Nedelcu: Thank you very much for your answers.
Friedrich Joussen: Okay, thank you very much. I have been informed by the central team that this was actually the last question. Is that correct? I mean…
Operator: That's correct.
Friedrich Joussen: Okay, thank you very much, everybody for tuning in. Thank you very much. I think the COVID-19 crisis is unprecedented, but I have to say 1.7 million bookings since the breakdown, you know, in the first month of operations, more than 500,000 customers on vacation. Q4 operationally breakeven and next year, being up 145%. I mean, promising sense. That's what I believe. Thank you very much and have a great day.+